Operator: Good day, ladies and gentlemen, and welcome to thethird quarter 2007 Patterson-UTI Energy earnings conference call. My name is Fab and I will beyour coordinator for today. Atthis time, allparticipants are inlisten-only mode. We will conduct aquestion and answer session towards theend of this conference (Operator Instructions). As areminder, this conference is being recorded for replay purposes. I would now like to turn thepresentation over to Mr. Geoff Lloyd on behalf of Patterson-UTI Energy. Sir, you may proceed.
Geoff Lloyd: Thank you very much. Goodmorning and on behalf of Patterson-UTI Energy, I would like to welcome allof you to today's conference call to discuss theresults of the threeand nine months endedSeptember 30, 2007. Participating intoday's call will beMark Siegel, Chairman,Doug Wall, President and Chief Executive Officer, and John Vollmer, ChiefFinancial Officer. Again, statements made inthis conference call, which state thecompany's or management's intentions, beliefs, expectations, or predictions forthe future areforward-looking statements. Itis important to note that actual results could differ materially from thosediscussed in suchforward-looking statements. Important factors that could cause actual results to differmaterially include, but arenot limited to, declines inoil and actual gasprices that could adversely affect demand for thecompany's services and their associated effect on day rates, rigutilization, and planned capital expenditures. Theexcess availability of land drilling rigs including, as aresult of thereactivation or construction of new land drilling rigs, adverse industryconditions, difficult inintegrating acquisitions, demand for oil and natural gas, shortages of rigequipment, and ability to retain management and field personnel. Additional information concerning factors that could causeactual results to differ materially from those inthe forward-lookingstatements is contained from time to time inthe company's SECfilings, which may beobtained by contacting thecompany or the SEC. These filings arealso available through thecompany's web site or through theSEC's EDGAR system. Thecompany undertakes no obligation to publicly update or revise anyforward-looking statements. And now I would like to turn thecall over to Mark Siegel for some opening remarks to befollowed by questions and answers. Mark?
Mark Siegel: Thanks, Geoff. Goodmorning and thank you for joining us today. I hope that, by now, allof you have had anopportunity to read our earnings release, which was issued earlier this morning,prior to the openingof the market. Before discussing theresults of operations, I would like to take aminute to officially introduce Doug Wall inhis new position as Chief Executive Officer. While we will clearly miss Cloyce Talbott'sunmatched experience and knowledge of our business, we areextremely fortunate to have Doug on our team. Inhis brief time with Patterson-UTI, Doug hasalready demonstrated theleadership strength and management skills that we believe will help to developPatterson-UTI to its fullest potential inthe years ahead. I would like to review theresults of the threeand nine months endedSeptember 30, 2007, and to indicate some of thefinancial highlights from thejust completed quarter. As always, wewill be pleased to takeyour questions following these remarks. To summarize, net income for thethree-month period totaled $98.2 million or $0.62 pershare compared to $186 million or $1.12 pershare for the threemonths ended September 30, 2006. Revenuesfor the just completedquarter were $524 million as compared to $674 million for thethird quarter of 2006. Net income for thenine months endedSeptember 30, 2007, totaled $354 million or $2.24 pershare compared to net income of $517 million or $3.03 pershare for the first ninemonths of 2006. Revenues were $1.6billion for thenine-month period ended September 30, 2007, compared to $1.9 billion for thenine months of 2006. Turning to our drilling operations, average revenues peroperating day during thethird quarter were $19,150 compared to $19,410 inthe second quarter of2007. Average direct costs peroperating day were $10,840 for thethird quarter compared to $10,570 for thesecond quarter of 2007. For thequarter ended September 30, thecompany had an averageof 243 drilling rigs operating, including 234 rigs inthe United States and ninerigs in Canada. This compares to anaverage of 237 drilling rigs operating, including 235 rigs inthe United States andtwo rigs in Canada forthe second quarter of2007. We estimate that our October rigcount was 238 average rigs operating, including 229 inthe U.S. and ninein Canada. For thefourth quarter, we currently expect our rigcount will be similarto the third quarterwith an average ofapproximately 243 rigs operating. Recently, we have seen some encouraging signs and we believethat the land rigmarket continues to stabilize. For thequarter we expect adecrease of approximately $500 peroperating day inmargin, taking into account changesin mix between theU.S. and Canada, costs from idle rigs atthe holidays, and someother factors. For thedrilling industry, in theUnited States, lower 48, land rigcounts have remained athigh levels during 2007. Land rigs addedto this marker have currently exceeded themarket's demand. Inresponse, theconstruction of additional land rigs for thedomestic market hasslowed significantly. Inthis climate, day rates began to stabilize during thethird quarter. Importantly, we believe that thelong-term upward trend inthe number of wellsdrilled will continue, as itis the principalmechanism to meet demand for natural gasand to offset steep decline rates. Forthis expected increase inrig demand, wecurrently have approximately 90 marketable land drilling rigs available toreactivate. Most significantly, despite this temporary oversupply ofrigs, our drilling business hasremained fundamentally strong throughout 2007. We have been willing to stack rigs ina systematic anddisciplined matter inlight of this current rigoversupply, which we believe to bea pause inthe long-term upwardtrend toward theutilization of more rigs. Turning to our pressure pumping business, I'm pleased topoint out that this business hascontinued to successfully expand its operations and had another record-settingquarter in bothrevenue and operating income. During thequarter, revenue increased by 45%, and operating income increased by 57%compared to third quarter 2006. I will now turn to our balance sheet. We arecontinuing to deploy capital ina manner beneficial toour shareholders. During thejust completed quarter, thecompany purchased 2,275,000 of its shares for $50.3 million. These purchases were made pursuant to theboard's previously announced decision authorizing purchases of up to $250million of thecompany's common stock. Inaddition, we recently acquired three FCR electric land drilling rigs, two 1500horsepower and one 1000 horsepower rigs and spare drilling equipment, for $29million. We spent $136 million on capitalexpenditures during thethird quarter and we expect asimilar amount in thefourth quarter, and that total spending for 2007 will bein the$600 million range. I would now like to take amoment to summarize our actions inthis area. During calendar 2005 and 2006and for the first ninemonths of 2007, we have spent approximately $1.4 billion on upgrading our rigfleet and increasing our assets inthe pressure pumpingbusiness. We're also pleased that during this period, calendar 2005and 2006 and during thefirst nine months of2007, we have returned $635 million to our shareholders inthe formof dividends and buybacks. With $1.4 billion reinvested inour company's assets and more than $600 million returned to our shareholders,our balance sheet hasno net debt. We believe our strongbalance sheet, our dividend and buyback strategy, and our commitment to invest inour rig fleet andpressure pumping business; allhave served and will continue to serve our company and its shareholders inthe future. Inaddition, the companyalso declared aquarterly cash dividend on its common stock of $0.12 pershare to be paid onDecember 28th to owners of record as of December 12th, 2007. Most significantly, we would like to express ourappreciation for the hardwork and dedication of allof our people in eachof our business units. We thank them fortheir efforts. Atthis point, I would like to open thecall for questions.
Operator: (Operator Instructions) And your first question comes from theline of John Fitzgerald from Raymond James.
John Fitzgerald -Raymond James: Good morning, guys.
Doug Wall: Good morning.
John Fitzgerald: Congrats on thequarter, did really well.
Mark Siegel: Thank you.
John Fitzgerald -Raymond James: Wanted to ask acouple of questions, on thepressure pumping market you guys arereally successful there this quarter. Couldyou give some color on how you performed sowell? Was itjust a differentregion you were working inor what was the dealgoing on there?
Doug Wall: John, I think theanswer to that question is really we've seen alot of strength inboth the fracking andnitrogen markets. Thenumber of jobs thatwe've been on hasincreased significantly. Therevenue for each of those service lines hasincreased dramatically. And I think ourpeople up at Universalare very wellconnected in thatmarketplace and I think we're very well positioned for future growth.
John Fitzgerald -Raymond James: Okay. And as afollow-up, I think when you announced that you'd acquired thethree new rigs. I think you said two ofthem were working already. Have youfound a job for thatthird rig?
Doug Wall: Thethird rig, at themoment, is not presently working. We dohave a number of leadsand we expect to have itworking before the endof the year.
John Fitzgerald -Raymond James: Okay. And were theother two signed under long-term contracts?
Doug Wall: No, they weren't. Theother two were both working on well-to-well contracts. Both operators have expressed interest inkeeping the rigs, butwe also had some very strong possibilities for placement of allthree of those rigs.
John Fitzgerald -Raymond James: Okay. That's it. Thanks.
Operator: Your next question comes from theline of Kurt Hallead from RBCCapital Markets.
Kurt Hallead - RBC Capital Markets: Hey good morning.
Doug Wall: Good morning.
Kurt Hallead - RBC Capital Markets: Hey. I just have somequestions. There is obviously alot of chatter out in themarketplace that theasset quality of Patterson rigs is far inferior. I know Mark you just referenced the$1.4 billion upgrade program, and I also seethe fact that you'vegot 90 idle rigs and Neighbor's has84, so itdoesn't look like you guys have lost any differential share relative toNeighbor's. Also, you did pretty well interms of your cash margin, sowhat else can you guys doto put this false rumor to rest here?
Doug Wall: Well, Kurt, itis Doug here again. As you know, we'vespent a little over a$1.4 billion over thelast three years on upgrading our equipment. We think itis a common misnomer inthe marketplace bothwith our competitors and really with thestreet about thequality of our fleet. I think our customers arespeaking very loudly with their wallets, and they doappear to like thework we do for them. As I said, we've taken avery disciplined approach to upgrading our fleet. We've added new rigs. We've completed over 67 refurbs inthe last two or threeyears. We've spent agreat deal of money on our fleet on pumps and mud systems, which is probablyone of the keycomponents of improving drilling efficiency. By theend of 2007, we will have inexcess of 260 rigs with 1,000 horsepower or greater Triplex pumps. We spent atremendous amount of money on safety improvements on our rigs. We now have iron roughnecks on over 170 rigs. There's no question that we still feel we have some way togo, but we've come a longway in this company,and I think our results both with what our equipment hasdone and with thepeople that we have inthe field, I think itpoints out that we do avery good job in thefield and people payfor operational efficiency.
Kurt Hallead - RBC Capital Markets: Right now, broadly speaking, there's got to besome element of rigattrition that occurs here over thecourse of the next sixto 12 months. You have anumber, like what was it, 350 to 500 depending on what thecount is of new rigs that have been entered into themarket. It's got to make alot of the older rigssomewhat obsolete. What's your generaltake on rig attrition?
Doug Wall: Well, I think you're correct on there's some rigattrition in themarket place. If you look atthe rigdata numbers there’s been about 650 rigs added to themarketplace in thelast three years. We think only about 300 to 350 of those arewhat I would call brand new rigs. Theinteresting piece is alot of those new rigs arenot necessarily fit for purpose. Wethink in terms ofquality, not all ofthose new rigs arewhat I would call new rigs. There's going to continue to besome attrition, we believe. But I think theattrition is shifting inthe marketplace interms of thehorsepower and itreally isn't all aboutnew rigs. Alot of it is rigs needto be fit for purposeand the rigs that arevery efficient and will improve drilling performance will continue to work.
Kurt Hallead - RBC Capital Markets: Okay. And my nextfollow-up question, given thefact you guys got 90 rigs ready to bemarketed as demand warrants, what is your game plan for drill pipe?
Doug Wall: Well, we currently we're ina very good situationwith drill pipe over thelast couple of years. We took theopportunity to make sure we had plenty of pipe and inventory and I'm very, verysatisfied that we're invery, very good shape with drill pipe.
Kurt Hallead - RBC Capital Markets: Areyou going to need to bebuying any or are you guyspretty much done for awhile?
Doug Wall: Honestly, we haven't really looked atthat in any depth atthis point, but I would bereal surprised if we add any significant amount of drill pipe in2008.
Kurt Hallead - RBC Capital Markets: Okay. Allright, thanks.
Operator: And your next question comes from theline of Jeff Kieburtz from Citigroup.
Jeff Kieburtz -Citigroup: Thanks very much. Doug,I would just like to carry on that point and maybe your comment that therigs need to be fitfor purpose in obviously Patterson does have avery substantial amount of legacy equipment that wasn't built for thedrilling environment we seetoday. But then you've spent alot of money on it. Can you give us asense of, as you're still relatively new to thecompany, do you have avision of what thePatterson fleet of thefuture will look like? And can you give us, if you dohave some sense of where we arein theprogression toward that goal?
Doug Wall: I guess to respond to that, thefleet of the future Idon't think is going to look dramatically different than thefleet today. Lots of people over thelast couple years have talked about thefact that SCR rigs aregoing to replace every rigin themarket place. Today that conversation is around AC rigs. There's no question that, I think, theindustry is moving inthat direction. But will every rigin thefuture be anew SCR rig? Thereality is no. I think probably as I mentioned earlier, probably themost significant improvement indrilling efficiency over thelast five years is really related to bit technology. And from our point of view, that hasmeant larger size mud pumps and, inlots of cases, top drives. I think those two things arewhere we have been very disciplined interms of employing our capital, and I guess my point is there's only about 350out of the 1750 or 1760rigs that are working inthe marketplace arenew. And I think this industry hasprobably spent and this is probably thefirst time in thelast 20 years that we've seen this kind of capital infusion into theindustry. And there are1400 rigs out in themarketplace today or more that arenot new. And those rigs inmy mind arenever going to disappear. I think itis a fallacy that newequipment is going to totally replace every rigin themarketplace. There really aremarkets today where brand new technology is just not fit for purpose. So, I think to generalize and saynew rigs are going tototally replace everything inthe marketplace isjust a misnomer. So, inour own case, to respond to your question, Jeff, we're going to continue toemploy capital. We're going to continue to upgrade our rigs inareas where we think itmakes sense. And I think you'll seethose. We're inreally good shape, I think today with things like mud systems and mud pumps. We're going to selectively continue to upgradeour rigs in thoseareas where we think itis appropriate.
Mark Siegel: Hey, Jeff, I would just like to add one or two little smallpoints, which arereally emphasis points to what Doug just said. One is that one of thethings we've seen is that some of thebrand new rigs that have entered themarket, some pursuant to long-term contracts arenot fit for purpose and arelikely to either retire before theterm contract ends or certainly atthe expiration of theterm. So, that's point one. And point two, insome markets, thenewest, supposedly most technologically fit rigcannot outperform amechanical rig that'svery, very well suited to its purpose inthat particular marketplace. So, we think that inboth cases, there's acommon misconception that either all new rigs arefit for purpose or that some mechanical rigs or no mechanical rigs canoutperform a new rig. Both of those areflatly wrong.
Jeff Kieburtz -Citigroup: Right, I don't want to getinto a semantic ordefinitional discussion too deeply, but you're drawing adistinction between new and fit for purpose. I think, what you're saying is themarket needs fit for purpose and that may or may not bea new rig.
Doug Wall: I think that's correct. We would allagree with you.
Jeff Kieburtz -Citigroup: Okay, as you stand today, how much of thePatterson fleets, inclusive of the90 rigs that aren't contracted, would you consider to befit for purpose?
Mark Siegel: I don't think we're prepared to go through that estimatetoday, Jeff.
Jeff Kieburtz -Citigroup: Okay. Allright, fair enough. Interms of those 90 marketable rigs that areidle right now, arethey off the market,they're just capable of being marketed, or what’s kind of that, how areyou thinking about those 90 rigs right now?
Doug Wall: Jeff, theeasy answer to that is of the90 rigs, most of them areof the smallerhorsepower size of rigs. They'rescattered around inour various regions. They arecurrently marketable, areready to go to work. We probably couldnot put all 90 of themto work tomorrow. I think thecrew situation is allof these rigs have actually run within thelast 15 months. So, I think, to answer your question, we have not taken themoff the market. I think thelimiting factor today would bepeople and as long aswe had enough lead time, I think we could crew therigs in somereasonable period of time.
Jeff Kieburtz -Citigroup: Doany of the 90 idlerigs have crews standing by?
Doug Wall: I would saythe crews arenot necessarily standing by. We'veredeployed a lot of thedrillers and some of thekey personnel on otherequipment. So, I would call those peoplestanding by. But, we certainly don'thave them waiting at thehouse for the call.
Jeff Kieburtz -Citigroup: Okay. And on themargin decline, at theend of the secondquarter you had forecast that margins would decline $300. They declined $500. Does that reflect asomewhat greater weakening of themarket than you had anticipated or how should we think about that variance?
Doug Wall: I'm not following thequestion. Could you sayit again, Jeff?
Jeff Kieburtz -Citigroup: I think inthe second quarterconference call, I believe that you had forecasted margin on theland drilling business would decline about $300 sequentially and itdeclined I think about $500?
Doug Wall: No, I think we had, I think you've got that backwards. We believe talked more like an$800 decrease inmargins and we outperformed that alittle bit on theexpense side. We talked about $11,000 incosts per day and theyturn out to be $10,840and the rest of itwas the strongerpricing. As Mark mentioned inhis opening comments, we saw some stabilization inpricing in thethird quarter.
Jeff Kieburtz -Citigroup: Okay. Thank you.
Operator: And your next question is from Scott Gill with Simmons &Company.
Scott Gill - Simmons& Company: Yes, good morning, gentlemen.
Mark Siegel: Good morning, Scott.
Scott Gill - Simmons& Company: Just aquick question here on theguidance for activity, I think you guys arecalling to be flat forthe fourth quarter. October was 238, alittle bit below that. We've got theholidays approaching. Areyou seeing anything inhand today that indicates that November is going to bea meaningfully upmonth for your rigcount?
Mark Siegel: Scott, there's really two components of that.
Scott Gill - Simmons& Company: Okay.
Mark Siegel: Our rigcount kind of, U.S. rigcount peaks at aboutAugust 31 and then September itgot a little bitsofter. I suspect that just being atthe end of theinjection period. And then, inrecent weeks, we've seen that U.S. rigcount move back up,over the 230. Now, granted atthe end of theyear, I would agree with you that thelast couple of weeks of theyear, around theholidays, you lose alittle bit of U.S. rigcount. On theCanadian rig count, isalso, it is not greatbut it hasbeen good, running more than tenrigs of late. And taking thetwo together, our guess is that theU.S. is going to besomething a littlenorth of 230 rigs running for thequarter and Canada, would average something inthe 11, 12 kind ofrange, so our 243.
Scott Gill - Simmons& Company: Okay. You wouldn'thave a company inhand that would saythat it is going tojump to 245 for themonth of November or something like that?
Mark Siegel: No. I think itis just really more gut-feel based on inquiring on how therigs are gettingdeployed right now.
Scott Gill - Simmons& Company: Okay. That's fair. We haven't talked much about thefluids business. Itlooks softer here in thequarter, was that due to theweakness in theGulf of Mexico?
Mark Siegel: Yes.
Doug Wall: Yes. Absolutely, Ithink we were very surprised thenumber of rigs operating inthe gulf, I think hasdropped down to 50 or 52. It’sdown from I think 80 rigs ayear ago. And our business inthe fluids business isheavily oriented toward theGulf of Mexico. So, as theGulf of Mexico is strong, our business is strong, as theGulf of Mexico declines, we seesome weakness there.
Scott Gill - Simmons& Company: Okay, acouple of other quick ones, on theoil and gas side,DD&A was up quite abit. Was there some sort of impairment inthe quarter?
Mark Siegel: Yes. There was, itwas about $2 million.
Scott Gill - Simmons& Company: Okay. And we're notexpecting that for thefourth quarter, right?
Mark Siegel: We evaluate itevery quarter, Scott. But certainly, Ihave no visibility of impairment atthis time.
Scott Gill - Simmons& Company: Okay. My lastquestion, again apretty quick one here, Mark, you spent alot of time talking about theinvestments that thecompany has made over thepast two plus years, $600 million of which for 2007, any insights to what thespending might be for2008 and where that spending might bedirected?
Mark Siegel: Actually, I'm going to let Doug respond to that.
Scott Gill - Simmons& Company: Okay.
Doug Wall: I can't give you anumber at this point. We arejust in theprocess of working on our 2008 budget. ButI will say this. We were going to continue to beextremely capital disciplined. Wecertainly got a look atour capital expenditures inconjunction with what we plan on doing with dividends, with what we plan ondoing with our share repurchase program. And also, looking atour free cash flows for 2008, so, as I said, we're not finished with thatprocess at this pointbut I do expect itis going to be downsignificantly from thenumbers that we spent inthe last couple years.
Scott Gill - Simmons& Company: Doug, would you saythat as you look atyour rig fleet, you'remore inclined to bebuilding new assets as opposed to upgrading some of those 90 idled assets?
Doug Wall: I think that's true. We've shared with you before that we ordered15 brand new IDEAL rigs from National Oilwell. We have taken delivery of allof that equipment. To-date, we have onlyput one of those rigs inthe field. We arecurrently constructing another two of them. And we will belooking at selectivelyadding those rigs to themarketplace over 2008. Now, anumber, as I said, most of thecapital expenditures of thebig components, we'vealready paid for.
Scott Gill - Simmons& Company: I'm sorry. You saidhow many have been delivered?
Doug Wall: One is actually out inthe field working.
Scott Gill - Simmons& Company: Okay.
Doug Wall: We presently just started construction of two additional.
Scott Gill - Simmons& Company: Okay.
Mark Siegel: Scott, allof them have been delivered to us inour CAPEX expense.
Scott Gill - Simmons& Company: Right. But they'renot field ready though, right, Mark?
Mark Siegel: Correct.
Scott Gill - Simmons& Company: Got you, okay. Thank you.
Operator: (Operator Instructions) And your next question comes from theline of Arun Jayaramfrom Credit Suisse.
Arun Jayaram - Credit Suisse: Good morning, gentlemen.
Mark Siegel: Arun, How areyou?
Arun Jayaram - Credit Suisse: I’m doing well. Mark,in your comments, youmention you're seeing astabilization in themarketplace and you're guiding to ahigher rig count Iguess for November and December. Areyou seeing that thesame stabilization inmargins and when doyou think, Mark, we could seea plateauing of Lower48 margins for you?
Mark Siegel: Arun, I think theword you used that starts with a"P" we don't use.
Arun Jayaram - Credit Suisse: Okay.
Mark Siegel: But allkidding aside, I think that thesense we have with $94 oil prices and $8.33, using yesterday closing prices,natural gas, that it's not surprising to us that we're seeing some encouragingsigns from our customers, both interms of utilization and some extent of lessening inthe pressures onpricing. And sothat's what causes us to talk about encouraging signs. Doug, you want to saysomething more to that?
Doug Wall: No, I don't think really. Arun, there isn't much we can add to that. I don't think we're ready to saythat good times arehere again but I think we've certainly seen some encouraging signs that there'ssome stabilization in themarket place.
Arun Jayaram - Credit Suisse: Okay. Fair enough. Gentlemen, thetax write-off, I don't know if you mentioned this abit earlier, the tax ratecame in alittle bit lower than I had modeled in. Wasthere anything unusual there? And isthat a lower tax rategoing forward, could you give us some guidance there?
Mark Siegel: I think for theyear, you would belooking at 35% taxrate. What you're seeing there inthe third quarter iswhen you file your return for theprior year, you true everything up atthat point in time andwe were a littleconservative on our tax ratelast year. You're seeing thebenefit run through thethird quarter. 35% for theyear would be theway to look at it.
Arun Jayaram - Credit Suisse: Okay. My finalquestion, guys, I asked thesame question of Neighbor's but theBaker Hughes onshore rigcount in theU.S. is up 6% inquarter-on-quarter year-over-year versus 2006. Yet your rigcount was down 19%, Neighbor's down 14%. Why doyou think you guys and Neighbors arebucking the trend andlosing so much sharerelative to higher rigcount by Baker Hughes and Richard Mason saying that this is anall-time high at leastin themodern history of theonshore rig? And why arethe trends sodifferent?
Mark Siegel: Well, I think, Arun, we started out by saying that themarket's been good in theland drilling business and our business hasbeen fundamentally sound. I mean, that'sthe critical thing tosee. You know, you look atour business and you seenet income being in the19% of revenue. Thebusiness is fundamentally good. That's acritical fact to seeas a starting point. And I want to make sure that we saythat and we remember that. Against that, we’ve been very disciplined about our businessand we think that our charge is to maximize theprofitability of our company for thebenefit of our shareholders. And given that we're thelargest player in theU.S. land market, itmakes sense for us to bevery careful and very disciplined about theutilization of our rigs. And since we'recareful about theutilization of our rigs, ina market that's got anoversupply, we're likely to bea player who takesinto account that oversupply and works with itin adisciplined fashion. But I would like to make sure that, you note while you talkabout that, the netincome results that have been achieved by thecompany. And thereal point here is did themanagement maximize thereturns for theinvestors with theassets that are undertheir handling? We're not supposed to maximize utilization, we're supposedto maximize return, and we did that and have done that for anumber of years. And that's what mypoint was. I think allof this other conversation starts to look atsome of the detail andoverlook thefundamental point.
Arun Jayaram - Credit Suisse: Okay. Thanks alot, Mark.
Operator: Your next question comes from theline of Waqar Syed from Tristone Capital.
Waqar Syed - TristoneCapital: Hi, good morning. Some questions on thepressure pumping side. Fourth quarterpressure pumping typically slows down. Areyou going to see, doyou expect that to happen this year as well inAppalachia, and also if you could talk about some margins for thefourth quarter?
Mark Siegel: Yeah. Is based onyour comments, you realize thefourth quarter is typically lower than thethird, driven by less hours with ashorter days and less days to work because inAppalachia, the customis to ship out at Thanksgivingthrough the first dayof hunting season. There is also asimilar slowdown around theChristmas holiday. So, my guess atthis point would berevenues in thefourth quarter would bemore similar to thefirst quarter. Atthe same time, withless days to work.
Doug Wall: More similar to the second quarter.
Mark Siegel: I’m sorry, more similar to thesecond quarter, and with, thesame number of working days, but less days working, themargins should beslightly lower in thefourth quarter than they were inthe third.
Waqar Syed - TristoneCapital: Okay. And then, kindof longer-term picture, areyou seeing this Appalachian market seems to be, atleast for now, different than what we're seeing inother regions on thefresh pumping side. Doyou expect your competitors to start putting more equipment inthere or how do you seethe market developnext year?
Doug Wall: I think alot of our growth there hasreally been driven from theMarcellus shaleplay. Its certainly that's where we'veseen the biggestvolume in ourbusiness. Allof our major competitors arealready in thatmarketplace. I can't comment whether they're going to bring moreequipment into that marketplace or not. Thereality is that marketplace is different than working inWest Texas; itcertainly has somedifferent drivers. Like I say, I reallycan't comment what our competitors aredoing. And I think theother thing I guess I would like to point out is theshale plant up there is inits very preliminary stages of development and atthis point, we doexpect to see furthergrowth but I think itis a little too earlyto make that call.
Mark Siegel: Theone thing I would like to add to what Doug said is that while Appalachia, asyou correctly point out, is agood area.; We've been operating inthat area for many years. And because ofthe fact that we're along-term player inthat marketplace, we think we have some considerable advantages over newentrants. We have relationships with customers. We have equipment. We know thearea. We have alot of, we think, significant advantages that we think differentiate ourbusiness in Appalachiafrom our competitors who may beour new entrants who may betrying to join themarketplace.
Waqar Syed - TristoneCapital: Sure. And then on thedrilling fluids business, you did not disclose thenumber of jobs thatwere done in thequarter. Doyou have that number handy?
Mark Siegel: I'm afraid not, Waqar. Talking to our management inthat area, they kind of concluded that that wasn't thebest indicator and sowe've got away from talking about itin our press release.
Waqar Syed - TristoneCapital: Okay. And how doyou see that marketdeveloped in thefourth quarter?
Doug Wall: We really think we don't seeany significant changesin thefourth quarter from what we saw inthe third quarter. I think until theGulf of Mexico gets reactivated and we geta few more rigs backto work, we see ourbusiness there staying inkind of the levelsthat we witnessed inQ3.
Waqar Syed - TristoneCapital: Okay. That's great. Thank you very much.
Operator: And your next question comes from theline of Brad Handler from Wachovia Capital Markets.
Mark Siegel: Hi, Brad.
Brad Handler -Wachovia Securities: Yes, thanks, good morning. I guess alittle bit more on thepressure pumping side, please. Can youjust update us on your capital program on hydraulic horsepower that you haveadded this year and plans that arealready in place fornext, if any?
Mark Siegel: I'm sorry, Brad. Wedon't have that information available here with us interms of thehorsepower we've added. Over thelast couple of years, we've made significant investment as you know, as we lookinto 2008, we have not finalized our budget yet interms of what we would add.
Brad Handler -Wachovia Securities: Okay.
Doug Wall: I don't have anything to add to that.
Brad Handler -Wachovia Securities: Okay. Fair enough. And then just, I guess just afollow-up on Waqar's question. You donot have a sense as towhat peers, competitors aredoing in terms oftheir plans for Appalachia, is that right?
Doug Wall: I think that's fair. Wehad some idea of what some of them aredoing but I don't think I want to disclose that on thecall. There's no question that themarket there is on theverge, I think of us knowing whether theshale play there is going to work like itworks in some otherplaces around theworld or certainly around theU.S. Our competitors, since they've been coming into themarket really for thelast year, so I reallydon't know what their further plans are. Theone thing I do know,to point out what Mark said earlier, we're pretty tough competitor inthat marketplace and we're just not going to cede that marketplace very easily.
Brad Handler -Wachovia Securities: Understood, I'm not as close to your trends as I could bebut perhaps you can just clarify how much therevenues per job, howmuch of that reflects pure pricing over thelast three quarters? So, itis a positive pricingprogression, I guess?
Mark Siegel: In theAppalachian base, I think thepricing works a littlebit different than itdoes in some othermarkets. That pricing gets really set inFebruary, March timeframe and alot of these programs areannual programs. So, I think there's pricing improvement over theyear, maybe I would guess, somewhere toward 8% or 10% and therest of it is I thinkdriven more by job size.
Brad Handler -Wachovia Securities: Okay. And that'shelpful. And I guess so, you aregetting ready to sit down atthe table and sothat February, March review in'08?
Doug Wall: That's correct.
Brad Handler -Wachovia Securities: Okay. Allright, very helpful. Thanks, guys.
Mark Siegel: Thank you.
Operator: And there areno further questions. Actually, you havea question from theline of Todd Garman with Peters and Company.
Todd Garman - Peters& Company: Good morning, just wonderingif you could give us alittle bit of color inyour land drilling rigbusiness by region. So, arethere any regions in theU.S. that are eithermaterially busier than you thought they would beor materially slower?
Doug Wall: Well, let mestart with the slowerones. I think theone that probably hasbeen as everybody knows, hasbeen very slow over thelast three quarters is really Canada. Butin theU.S., certainly I think theareas where we've seen some declines inactivity would be thePermian Basin in WestTexas and Oklahoma hasprobably been slower than we anticipated. Thestrength, as you might anticipate, hascertainly been in theRockies. Ithas that we've seentremendous amount of strength certainly inthe Barnett Shale of Northand Central Texas. We've seen somerecent signs of strength inSouth Texas.
Todd Garman - Peters& Company: If you look out to 2008, areyou seeing any indications from your large clients that interms of spending or activity levels that aregoing to be materiallydifferent from thesmaller ones? I mean dothey plan to be busierthan the smaller onesdo? Or is itvice versa?
Doug Wall: I think that's true that some our larger customers areplanning on remaining very busy. I thinkwhat we don't have areal good handle today is on some of what we call thecheckbook drillers in WestTexas. As you know, most of those people aredriven very quickly, based on commodity prices. So, I doanticipate we'll seesome resurgence in WestTexas towards the firstpart of the year.
Todd Garman - Peters& Company: Okay. Thank you. I guess just afollow-up to that then. What aboutlarger clients in theother regions of theU.S.?
Doug Wall: Well, again, without mentioning names, some of thelarger customers, I think, arepresently looking atand trying to determine what their '08 budgets aregoing to be. But most of thelarger customers that we've talked to show that atleast flat plans for '08 aresomewhat up, but itdepends really on theregion.
Todd Garman - Peters& Company: Okay. Thank you.
Operator: And there areno further questions atthis time. I would now like to turn thecall back over to management for closing remarks.
Mark Siegel: Thank you. We’d liketo just thank everybody for their participation inour call and look forward to speaking with you following up on our fourthquarter. Thanks, everybody.
Operator: Thank you for participation intoday's conference. This concludes thepresentation. You may now disconnect. Have awonderful day.